Operator: Good day, and welcome to the Information Services Group First Quarter Results Conference Call. Today's conference is being recorded and a replay will be available on ISG's website within 24 hours.At this time for opening remarks and introductions, I would like to turn the conference over to Mr. Barry Holt. Please, go ahead, sir.
Barry Holt: Thank you, operator. Hello and good morning. My name is Barry Holt. I'm a Senior Communications Executive at ISG. I'd like to welcome everyone to ISG's first quarter conference call. I'm joined today by Michael Connors, Chairman and Chief Executive Officer; and David Berger, Executive Vice President and Chief Financial Officer.Before we begin, I would like to read a forward-looking statement. It is important to note that this communication may contain forward-looking statements, which represent the current expectations and beliefs of the management of ISG concerning future events and their potential effects. These statements are not guarantees of future results and are subject to certain risks and uncertainties that could cause actual results to differ materially from those anticipated.For a more detailed listing of the risks and other factors that could affect future results, please refer to the forward-looking statements contained in our Form 8-K which was furnished last night to the SEC and the risk factor section in ISG's Form 10-K covering full year results.You should also read ISG's Annual Report on Form 10-K and any other relevant documents, including any amendments or supplements to these documents filed with the SEC. You will be able to obtain free copies of any of ISG's SEC filings on either ISG's website at www.isg-one.com or the SEC's website at www.sec.gov. ISG undertakes no obligation to update or revise any forward-looking statements to reflect subsequent events or circumstances.During this call, we will discuss certain non-GAAP financial measures, which ISG believes improves the comparability of the Company's financial results between periods and provides a greater transparency of key measures we used to evaluate the Company's performance. The non-GAAP measures, which we will touch on today, include adjusted EBITDA, adjusted net earnings and the presentation of selected financial data on a constant currency basis.Non-GAAP measures are provided as additional information, and should not be considered in isolation or as a substitute for financial results prepared in accordance with GAAP. For the reconciliation of all non-GAAP measures presented to the most closely applicable GAAP measure, please refer to our current report on Form 8-K, which we filed last night with the SEC.And now, I'd like to turn the call over to Michael Connors, who will be followed by David Berger. Mike?
Michael Connors: Thank you, Barry, and good morning, everyone. These are unprecedented times. None of us living and working today have experienced an event, I think, of this sudden magnitude. In some way it's surreal. This morning I'm going to divide my comments into two parts. First, our quarterly results, which were solid, considering our third of the quarter was impacted by the coronavirus. Then I'll provide some perspective on the current environment and how we are operating.For the quarter, we delivered a good result with revenues of $64 million and EBITDA of nearly $4 million. We entered 2020 with strong momentum, coming off of our most profitable second half ever, setting us up for what we anticipated would be a faster start to 2020, and then the world began to change in February.The coronavirus has profoundly altered daily life, by bringing sweeping upheaval to the global economy. But we all know this. So we took action and I'll review those actions in a moment. The first quarter. In Q1, we served 409 clients, with industry growth in financial services, energy, life sciences, the public sector and our technology industry verticals, and in our change management, digital services and ISG research service lines.Our recurring revenues in the quarter reached $21 million for the quarter, up 13% and represented about 33% of our total, driven by research and our public sector contracts. We repurchased more than $3 million of ISG stock and generated close to $5 million in cash from operations, almost 4 times the level of cash generation from a year ago. And we ended the quarter with more than $17 million in cash and our leverage ratios are in good shape.Over the last several months, we also invested further in our ISG automation asset, including doubling our sales team and adding additional resources. These investments, as we anticipated in our Q4 call, had a negative impact of about $1 million on Q1 EBITDA. However, we expect a return of more than double this investment in 2021, as we continue to seek ways to unleash the value of this business for our shareholders.Now turning to our regions. The Americas delivered $37 million in revenue in the quarter, down 4% from the prior year. This result includes the cancellation of our live ISG destination events in late March and a reduction in client billable T&E that was stopped in March go through to the pandemic.During the quarter the region saw good industry growth in our financial services, oil and gas, pharma, life sciences and public sector industry verticals and in our change management and ISG research service lines. Offsetting this growth, the Americas experienced headwinds from consumer and manufacturing industries during the quarter.Key client engagements in the first quarter included Western Union, USAA, Stanley Black & Decker and Stanford Health Care.Among our significant wins, a global leader in retail and wholesale pharmacy awarded ISG a $2 million engagement to support the transformation of their global technology operations. And a global leader in B2B storage and information management systems awarded ISG's largest ever HR engagement for close to $2 million. Under this new engagement, ISG will lead the client's overall outsourced payroll implementation program for the next year.Turning to Europe, our revenues grew by 3% with strong results in Germany and double-digit growth in the U.K.. During the quarter, the region saw good industry growth in our financial services, energy, life sciences, manufacturing and consumer industry verticals, in our research network and automation service lines.Declining business in Europe in the first quarter included Volkswagen, Alliance, Munich Re, Winter Shaw and Luminor Bank. Among our wins ISG has been awarded a $2 million engagement to provide digital advisory support to a global grocery retailer headquartered in Germany.We also secured new business with a German multinational manufacturing company to support its next-generation technology and we expect this work will lead to a multiyear engagement. Finally in Asia Pacific, we reported double-digit growth with revenues up 16% to $5 million driven by the public sector and our energy and life sciences industry verticals.Key clients in the quarter included Rio Tinto, the Australian Taxation Office, the Australian Department of Defense, the Department of Home Affairs, Caltex Australia Petroleum and ANZ Banking Group. So overall considering the approximately $2 million revenue impact of COVID-19 in the quarter, we are pleased with our solid Q1.Now let me segue to the second part of my comments this morning to provide some perspective on the current environment – and how we are operating. As a firm we set three objectives during this pandemic. First, delivering we can to safeguard the health of our employees and their families. And I'm pleased to report all 1300 of our employees are safe.Second is to serve our clients and do so with minimal disruption; and third, to preserve our fundamental financial performance in support of our employees and shareholders.I'm proud of how our ISG colleagues have responded to these challenges. Nearly every ISG colleague has been working from home and we have implemented a series of cost actions to minimize the economic impact of clients reducing their short-term spending levels, while not laying off any of our employees as a result of the virus.You will see that reflected in our Q2 guidance, a number of our clients especially those in the airline, travel, hospitality, automotive and retail sectors have been more deeply affected by the pandemic. Here we continue to serve as a trusted adviser with most of these clients, working to support them in this difficult operating environment.For example, we have extended our payment terms to assist in cash flow management and reduced our cost for services for a period of time to help some of them get through the summer months. We know this works. We took similar actions with our clients during the Great recession and they remain clients of ours today. It is a true partnership.Operationally, ISG is well positioned to respond to this global health and economic crisis. With our virtual team structure we were able to pivot quickly to a work-from-home model and continue to provide complete continuity of services to our clients some of whom were experiencing ISG in a completely virtual environment for the first time.From a client delivery perspective, ISG's portfolio of services is purpose-built to respond rapidly in times of recession or other major disruptions. Our pandemic ready offerings include, our rapid cost takeout services, our automation solutions, our network services to support the massive new demands on our clients' networking capacity and data security to accommodate remote workers.And our vendor compliance and risk management solution called ISG GovernX that help clients ensure business continuity from their complex ecosystem of third-party suppliers. In fact we recently signed two new GovernX contracts worth $4 million, one with the top three telecom player and the other with a major consumer manufacturing company.In this month, we are starting to see increased demand for our strategic planning services as some clients begin to emerge from the immediate COVID crisis and turn their sights on business recovery. We are looking for our support and guidance to increase their investments in digital transformation on the other side of this pandemic.If there is one thing this crisis has shown up, it is the power of digital. Our clients are realizing now more than ever, they need automation, cloud, data analytics, edge computing, modern networking, infrastructure, and replace applications. And they need to scale these technologies faster. As a result, we expect the acceleration of digital to be turbocharged in 2021 as companies emerge from this pandemic by year-end. And that means a great future for ISG.The reality is no industry or business is completely immune from the impact of this pandemic, including ISG. ISG revealed the impact of COVID-19 on the global technology and business service industry last month, we held our global ISG Index reaping before a record audience of more than 1,400 participants, including over 250 financial analysts.Our ISG Index findings show the global sourcing markets growth momentum slowed in the second half of Q1 as concerns over the coronavirus pandemic began to impact spending. For Q2, we are forecasting a 17% sequential drop in ACV for the broad sourcing market industry.So led by the three guiding principles, I mentioned earlier, ISG acted quickly and decisively in March to reduce our costs and this is reflected in our strong Q2 EBITDA guidance.Even as we reduced our cost base to match the anticipated shift in market demand, we continue to invest in our ISG platform services. We are committed to becoming a digitally driven solutions firm, powered by digital expertise, data and software platforms. The pandemic only serves to underscore the importance of our strategic direction. We remain steadfast in our commitment to expanding our digital platform services.Now, let me turn to guidance. The COVID-19 crisis continues to evolve and is creating an increased amount of uncertainty. We expect our clients will pullback on certain investments in the near-term, as they cope with the immediate business impacts of the pandemic. This is especially true with our clients in industries such as travel, hospitality, retail, and automotive.In addition, other revenue impacts in Q2 include a reduction to near zero of client P&E reimbursable expense, which usually runs about 4% to 5% of revenues and though we are planning for our live ISG produced destination events to return. We are not forecasting any revenue from in person events in Q2.On the positive side, as I mentioned previously, we are seeing strong client interest in our rapid cost optimization services, supplier and risk management, network capability and resiliency, digital workplace solutions and business recovery planning. Longer term, we think the pandemic will accelerate client demand for an investment in the digital transformation services we provide.Balancing all of this, we will continue to provide guidance on a quarterly basis in the near term. For the second quarter, we are forecasting revenues between $53 million and $55 million. And despite the reduction in revenues from Q1, we expect to nearly double EBITDA sequentially. We project our Q2 adjusted EBITDA will be between $6 million and $7 million as a result of the cost actions we have taken and in anticipation of higher-margin services being delivered in the quarter. Our business outlook reflects our assumptions as of today, regarding the potential effect of the coronavirus pandemic.So with that, let me turn the call over to David Berger, who will summarize our financial results. David?
David Berger: Thanks, Mike, and good morning, everyone. Revenues for the first quarter were $63.7 million compared with $64.8 million in the prior year flat in constant currency and a decline of 2% on a reported basis.Currency negatively impacted reported revenues by $1 million versus the prior year. Reported revenues were $36.8 million in the Americas, down 4%; $22.2 million in Europe up 3% in constant currency, and flat on a reported basis; and $4.7 million in Asia Pacific up to 16% in constant currency and 8% on a reported basis.First quarter 2020 adjusted EBITDA was $3.5 million compared with $3.6 million in the prior year's first quarter. We reported a first quarter operating loss of $700,000 flat with the first quarter of 2019. The net loss for the quarter was $1.4 million compared with a net loss of $900,000 in the prior year included in the net loss for 2020 were $300,000 in fees, associated with our amended credit agreement. Reported fully diluted loss per share was $0.03 compared with a fully diluted loss per share of $0.02 on for the same period in 2019.Adjusted net income for the first quarter was $1.1 million or $0.02 per share on a diluted basis compared with adjusted net income of $1.5 million or $0.03 per share on a diluted basis in the prior year's first quarter. Consulting utilization for the first quarter was 66%. And quarter end headcount was 1,305 essentially flat with last year.Our balance sheet continues to have the strength and flexibility to support our business over the long term. Net cash provided by operations for the first quarter was approximately $5 million versus $1 million in the prior year. We repurchased $3.4 million of shares in Q1 and we ended the quarter with $17.4 million of cash.As we previously announced, during the quarter, we amended the credit agreement. The firm originally entered into on December 1, 2016. The amendment includes a 61% reduction in annual mandatory principal payments to $4.3 million access to a revolver of $54 million, a lowering of borrowing costs, a removal of the cap on share repurchases with some limits and an extension of the agreement's maturity to March 10, 2025.As of March 31, 2020 we had $86.9 million in debt outstanding, down 9% from the prior year and 12% since January of 2019. Our average borrowing rate for the quarter was 4.6% and 80 basis point reduction from a year ago. And we had 47.6 million shares outstanding as of April 30.Mike will now share concluding remarks before we go to Q&A. Mike?
Michael Connors: Thank you, David. To summarize, these are unprecedented times clearly with the global economy impacted as never before by COVID-19. ISG continues to serve our clients without interruption and we are seeing good demand for our recession and business disruption services like cost takeout and supplier management automation network and recovery services.For the quarter, our revenues and EBITDA were flat with the prior year a good result given the economic conditions and the cancellation of our live ISG destination events in March. Overall, demand in the near-term will be impacted by the pandemic as new business development efforts in particular become more challenging.We have taken significant cost actions to help mitigate this impact. And this is reflected in our strong Q2 EBITDA forecast. Longer term, we see the pandemic being an accelerator for our clients' digital transformation with a resulting increase in demand for our services. And we continue to be in a strong financial position, ending the quarter with over $17 million in cash and with additional liquidity available for both risk and opportunity.As always, we are focused on creating shareholder value for the long term and we are steadfast in our mission to deliver operational excellence to our clients. Well thank you very much for calling in this morning.And now let me turn the session over to the operator for your questions.
Operator: [Operator Instructions] And now we’ll take our first question from Marc Riddick from Sidoti. Your line is open. Please go ahead.
Marc Riddick: Good morning, gentlemen.
Michael Connors: Good morning, Marc.
Marc Riddick: First of all I'm going to thank you for all the details provided and the color around what you've experienced and some of the thoughts as far as what you see going forward. I wanted to just start with maybe one of the – I mean, we've heard from many companies during their earnings talking about their updated views and revised thoughts around digital transformation and some of the things.And quite frankly, we've heard quite frankly changed their mind about things on conference calls. I wanted to start there and I wondered, if you could touch a little bit about the conversations you're having about the digital workplace of the future if you will and maybe how those engagements kind of evolved over the last few years?
Michael Connors: Okay. Good. Marc good question. So I would say that it varies a little bit by industry. So let me take it maybe two buckets. I'll put it in the bucket of the most distressed industry, which would be the hospitality, the travel, the retail for example. And I would say most of those industries, the work that we are being asked to perform, which really I recall on the immediacy of cost takeout, my network cannot handle the work-from-home of the people that we have. And how do I take costs out to be able to kind of get past this pandemic over the next few quarters?So I would say it's an immediate it's fast. It will include pieces like automation, it would include pieces of cost takeout and shared service efficiencies quickly and the renegotiation of outside services. That's what we're seeing in terms of the bundle of services and I recall some more distressed industries for the here and now.For the broader industry segment, I think what this pandemic has exposed is those that were further along in their digital transformation whether it's e-commerce, whether it is the flexibility of their network capability, whether it's the business resiliency, those areas are beginning to either shine or those areas are beginning to show it’s there.And so a lot of our work around those industries are saying, how can we accelerate our digital journey for our capability and to think about the workplace of the future where I used to operate in one form. And as I move forward, I believe I could operate more efficiently and more effectively in a different form. And that will include working from home more than any firm that's ever worked from home before. So that's the kind of buckets. It's two different buckets, two different sets of industries market that helps. That's how we see the CEOs and their kind of executive teams operating right now in kind of real time.
Marc Riddick: No. That's very helpful. Thank you. And I was wondering if you could give a bit of color around the internal needs as far as headcount. And you certainly are seeing opportunities that will evolve and broaden over the coming quarters. I want to get a thought as to do you -- are you comfortable with the way you are, do you feel the need to add more to accommodate these demands and what we might see in the next couple of quarters there?
Michael Connors: Are you talking about ISG or the clients?
Marc Riddick: ISG?
Michael Connors: ISG. Yes. No. Look, I think we'll continue to monitor our headcount. I do not anticipate is going up. It's possible that the mix could change. But -- so from a headcount standpoint, I think that we likely will not refill certain roles if they become vacant during this interim period of time. But I don't anticipate headcount number that would look much different than it is today, and certainly not going off more from that standpoint.If I could just add one other component to your previous question, one other area that's very high with clients is asset monetization. So think about a lot of enterprises today there are 4,000 that we track. There are 4,000 captives that are currently owned by enterprises. We are being called on to say, can you help us monetize that where a service provider will come in and four pick a number $80 million to $100 million they will buy the captive, they will then kind of sell back services. They will used their magic to make them more efficient and to be able to use other clients with that captive and that's also another big area of the work that's going on among enterprises now that gets to immediate cash as you can imagine. And you can do this kind of monetization in a relatively quick period of time in that quarter.
Marc Riddick: Great. And then last one from me. You mention as far as dealing with your customers and you're working with them in a partnership fashion particularly around payment terms in the near-term. I was wondering if you could talk a little bit about that, not just that but maybe the differences of what you're seeing now versus what you saw during the Great Recession and how it's evolved, I mean, maybe -- what -- maybe a couple other similarities are and maybe some of the differences? Thank you.
Michael Connors: Yeah. It's a good question. So I would say, we are using a playbook with a little modification that we used during the recession. And that is we have a number of our 700 clients who have been looking at a lot of years dating back to the recession. Some of them in the distressed industries, in hospitality, in travel and retail clearly have been enormously hard. They wanted our work to continue, so think of a cruise line, think of a major hotel, think about a major retailer, think about a major automotive player. They did not want us to go away.At the same time, their revenues had dropped 50%, 75% and in some cases almost 90%. So what they asked us for was what could we consider for them to keep doing what we were doing? And there's a variety of options that we've made available to them everything from extending payment terms to 120 days to keeping our full teams fully engaged but at a reduced price for a period of time, and some combination of those in the more distressed client areas. That enables us to remain. It keeps us sticky and builds continued loyalty.And we saw this when we were with the Great Recession that we did it. I remember one client, one of our major top five clients calling us and saying that they were going to file bankruptcy the next day. They expected to come out of it in three to four months. They would understand if we needed to leave. But on the other hand they would love to keep us there and that they would pay us on the other side of the bankruptcy.They had been with us from the beginning of our firm, we stayed with them and they remain a client today -- a multimillion-dollar annual client with us today. So, that's what we need when we say partnership, we're in this together with our clients. We have nurtured them over the years. They've been loyal to us and in return we are helping them ending. Of course, when you do that you're carrying more cost than you're getting on the revenue side, but we think this pays off in the long run for ISG.
Marc Riddick: Okay. Thank you very much.
Michael Connors: Okay Marc. Thank you.
Operator: Thank you. [Operator Instructions] And now we'll take our next question from Vincent Colicchio from Barrington Research. Your line is open. Sir, please go ahead.
Vincent Colicchio: Yes, Mike what -- good morning.
Michael Connors: Good morning Vince.
Vincent Colicchio: Yes, could you talk about your pipeline -- your sales pipeline in terms of to what extent you're seeing cancellations versus delays?
Michael Connors: So, most of it is delays. Our pipeline is quite strong, but we are seeing things pushed out. We're also seeing things slow down. So, let's not move at the same timeline pace or project plan that we had developed in February. So, most of what we are seeing are delays. Yes, there are a few cancellations but for the most part we're seeing work pushed out there.
Vincent Colicchio: And then what portion of your business is seen financial assistance? Is there a way to characterize that?
Michael Connors: I don't have it in terms of percentage and it's -- I would say that -- I would put it certainly the 80/20 rule that 80% or not. And it's the 20% that are quite distressed that have been with us a long period of time that we are working with because we would like to be engaged with them to continue what we have started with them. They know they need our work and we know that they've been loyal to us. So, it'd probably be in that gauge although I don't have it as an exact percentage of the revenue though.
Vincent Colicchio: Okay. I'll go back in the queue. Thanks Mike.
Michael Connors: Thanks Vince.
Operator: Thank you. And now we take our next question from Joe Gomes from NOBLE Capital. Your line is open, please go ahead.
Joe Gomes: Good morning and thanks for taking the question. Just real quick wanted to check here. So, on the March 11th call, your forecast at that point in time was for $64 million to $65 million revenues and $5 million EBITDA. We know the actual numbers. We came really close on the revenue side, but fell a little short on the EBITDA.Was that all corona-related that EBITDA shortfall in the last say three weeks of March or are there other things mixed in there that caused the EBITDA to be below your forecast of March 11th?
Michael Connors: No, it is all -- we were moving at a faster pace than even the $64 million to $65 million range, Joe, but we had no live events in March. Our work began to see this actually in February out in Asia, Singapore, et cetera, then it moved over into Europe and then into the United States. United States was actually behind both Asia and the U.S. in tons of is -- I would call its reaction overall.But yes, I would say we felt like we would have had $2 million more of revenue which would have generated somewhere in the neighborhood of $1 million plus $1.5 million of EBITDA for the quarter. And that would have put us about kind of where we thought we would be at the top end.
Joe Gomes: Okay. Thank you. And then just one quick follow-up, when you're talking about the second quarter guidance and you were -- that you think you could double EBITDA sequentially even on a pretty significant decline in revenue in part of that as a result of the cost actions taken so far.I wonder if you could kind of give us a little more clarity on the type of cost actions you take of it. I thought -- I heard you said and correct me if I was wrong you hadn't made any way off yet on the people side.
Michael Connors: That's correct. Our cost actions were kind of in four buckets. We took costs out on contractors, all discretionary spending will stop travel, of course, stop. We did have some furloughs not a lot and we did take some compensation actions. And you've done those altogether that's number one that helps us.And the second one that helps us is that we are anticipating a little higher margin coming out of the -- I would call it the business disruption services that we're offering. And mainly because of the speed in which enterprises are asking us to do the work there is essentially a premium for speed. And therefore our view is that we would have a bit of a higher-margin on each service or most services delivered during Q2 the way we price. So you put the two together that's why we are feeling pretty good about where the EBITDA can show in Q2.
Joe Gomes: Okay. Thank you I will get back in the line.
Michael Connors: Okay, Joe. Thank you.
Operator: Thank you. And now we take our next question from Marco Rodriguez from Stonegate Capital Markets. Your line is open. Please go ahead.
Marco Rodriguez: Good morning. Thank you for taking my question.
Michael Connors: Good morning Marco.
Marco Rodriguez: I wondering if you guys can maybe talk a little bit more about your expectations for cash flows as the year kind of progresses from expectations of working capital liquidations CapEx, are you guys continuing to look at doing the stock buyback or that can be posed? Any sort of expectations that you can provide on cash flows for the year would be helpful.
Michael Connors: Yes. Thanks Marco. We believe we have adequate liquidity to weather the storm. We have a big focus on cash collections to make sure our advisers are staying on top of our clients. As you saw we had good collections in the first quarter. We generated $4.6 million of cash that compared to $1.3 billion last year.I could tell you in April we continue to have strong collections. No major capital requirements during the year. So we'll generate decent cash flow this year, EBITDA in the second quarter. Our revenues are down and – but our EBITDA is up and that because of lower cost.And so obviously you don't have a collection timing away on the receivables. So we feel we're in a good position. And that's backed up by the fact that we have a $54 million revolver which sits there, but we believe we have adequate liquidity going forward in our leverage ratio for quarter or in good shape.
Marco Rodriguez: Got it. That's helpful. And then Mike, I was wondering if you could talk a little bit more just from a high level general sense not necessarily looking for longer-term guidance here for the remainder of the year. But just talking about your base case scenarios, kind of how you're thinking about the impact of corona virus on business in general your clients and your business?It kind of sounded like from some of your prepared remarks that your expectation is, this situation should run its course in the fiscal year and sort of return to normal. And I think there's an expectation that you'll have accelerated growth in fiscal 2021. But if you can just kind of share your thoughts there on your base case scenarios, what are sort of the assumptions that are driving that? And what level of confidence I guess you have on those assumptions? Thanks.
Michael Connors: Okay. Good Marco. Look I think it's a bit of a crap shoot here. But again, I would look at it. We look at it by industry segment and who is coming back at what kind of anticipated at what speed. Certainly, the travel, the retail, the hospitality areas are going to be the slowest to come back. We do not anticipate them coming back at anything close to normal during 2020.We think manufacturing will ease its way and maybe towards the end of 2020. So that would be right behind that moving. Then you have a whole another group around media and telecom and some of these other industry categories healthcare, pharma who guess there are some short-term issues, but they're looking at more what I would call business recovery business acceleration works.So it's going to be some kind of a hybrid. But I think for the balance of 2020 i.e. it will be somewhat muted and provided that people can actually travel again which will have a big determining factor on the economic situation everywhere around the world that 2021 could be quite an acceleration with digital being at the front of most clients to do this. And that gets it right down the center of the fairway of the kind of work and transformational work at ISG. So that's what our current thinking is on our market.
Marco Rodriguez: Thanks Mike. I appreciate the time.
Michael Connors: Thank you.
Operator: Thank you. And we have a follow-up question from Vincent Colichio from Barrington Research. Your line is open. Please go ahead.
Vincent Colicchio: Yes Mike, I was wondering if you – I might want to take a shot at how the different -- we're about halfway through the quarter and June quarter. Do you have any -- can you help us think about the geographies which one should play out the best and which the worst in Q2 sequentially?
Michael Connors: I'll make a caveat by saying, it's a gap, it's a health warning because we're only halfway through. But if I start around the world in the groups, I think Asia Pacific should be in good shape. And one of the reasons why that is growing and we've talked about this on calls before, when government is spending in that region then we can achieve double-digit growth. And right now the government sector in Australia is pretty robust for us, and looking some of the wins and taxation in the home office and so on. So I think Asia Pacific will continue despite the environment being a little bit better.And of course, we know that the Australia, New Zealand area was not quite “hit as hard” as others. And even though they were sheltered in place, the business interruption there was a little bit less certainly on the government side. And so I think that ratio should be in decent shape.I think in Europe it varies by country. I think Germany is now beginning to come back. They've open up to schools, they opened the shops. We will bring our people back to our offices there in June. And so Germany I think would be a steady player.France, we literally just opened the office yesterday in a staged way as France is beginning to come back but I think that market overall is fairly flat down for the moment but flat overall. And then the U.K. is a bit of a crap sheet to be honest, not sure exactly where the descriptions are going to fall, despite Boris' commentary on Sunday. So we had a very good strong first quarter in the U.K., not so sure about these two and three at the moment.And in the U.S. it's just a hybrid. It's a hybrid of the clients. It's a hybrid of the industries. Because we have almost every industry here unlike in almost every other market in the world. We cover almost all 20 of the industry segments here in the U.S. And so we're very on its progress each quarter in the Americas. And that's probably the best I could give you in terms of description and how we see it at the moment Vince.
Vincent Colicchio: Thanks for all that color.
Michael Connors: Yes, the only thing I would add to the U.S. is that the public sector which we talked about I think in the fourth quarter, we began to see that begin to pop. Our balance has been pretty decent in terms of spending. We also know though that state governments have been hit very hard. So we'll see if that spending continues or not but they certainly have some local systems that have been exposed through all of this.So from a technology standpoint the need is high. The question is will they allow that to continue to develop or not? At the moment the answer is yes. And you'll see how that evolved over the next few quarters.
Vincent Colicchio: Thank you.
Michael Connors: You bet.
Operator: Thank you. We have no further questions at this time. [Operator Instructions].
Michael Connors: Okay. So with that let me just close by saying thank you to all of our professionals worldwide for stepping up to the challenges presented by the coronavirus. I can't be more proud of all of them. Even working remotely there's been no letup in the intensity of our collaboration and client engagement, nor our passion for delivering the best advice and support to our clients. And let me say thanks to all of you on the call for your continued support and confidence in our firm. Stay healthy, stay well and thanks for calling in this morning. Have a good rest of the day.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.